Operator: Hello and thank you for standing by. Welcome to the MobileIron Third Quarter 2015 Financial Results Conference Call. As a reminder, all participants are in listen-only mode and the conference is being recorded. [Operator Instructions] At this time, I’d like to turn the conference over to Sam Wilson, Head of Investor Relations for MobileIron. Please go ahead.
Sam Wilson: Thank you, Ben. Good afternoon and welcome to MobileIron’s third quarter 2015 financial results conference call. Joining us from the company are Bob Tinker, CEO; Simon Biddiscombe, Interim CFO; Vittorio Viarengo, VP of Products and marketing. The format of the call will be a business review by Bob, and Simon will provide details on the financials and other information. We will then have time for questions. If you have not received a copy of today’s release, please call MobileIron Investor Relations or go to MobileIron’s Investor Relations website at investors.mobileiron.com. Before we begin the formal remarks, the company advises that today’s conference call contains forward-looking statements. Forward-looking statements include statements regarding expected revenue, billings, gross margins, operating expenses, operating margins, recurring billing, recurring revenue and other projected financial results, market trends and opportunities, competition, research and development efforts, sales and marketing efforts, new product introductions and our growth strategy. Forward-looking statements made during the call are being made as of today. If this call is replayed or reviewed after today, the information presented in the call may not contain current or accurate information. Further, certain forward-looking statements are subject to certain risks and uncertainties and are based on assumptions as to future events which may not prove to be accurate. Therefore, actual outcomes and results may differ materially from what is expected or forecasted in such forward-looking statements. Information of potential risk factors are detailed in the company’s periodic filings with the SEC including, but not limited to, those risks and uncertainties listed most recently on our Form 10-Q filed on August 6, 2015. MobileIron undertakes no obligation to publicly release any revisions to forward-looking statements contained herein to reflect events or circumstances after the date hereof or to reflect the accuracy of unanticipated events. In addition, several non-GAAP financial measures will be mentioned on this call. Information relating to the corresponding GAAP measures as well as reconciliation of non-GAAP measures and GAAP measures can be found in our press release on the Investor Relations website at investors.mobileiron.com or on our 8-K filing with the SEC. At this time, I would like to turn the call over to Bob. Please go ahead, sir.
Bob Tinker: Thank you, Sam. Good afternoon, everyone. Thank you for joining today’s call. MobileIron is the security backbone for enterprise data and app on modern operating systems such as Apple's OS, Android and now Windows 10. We sell to and win the most demanding large and mid size enterprise customers around the world. These customers valve and are willing to pay for our security and enterprise class architecture. These larger customers also have the highest long-term value for our business. No surprise that again in the third quarter over 70% of our business came from customers with greater than 1,000 employees. In Q3 we also passed the milestones of over 10,000 customers that have purchased our solutions since 2009. New customer addition were in line with historical trends. Security is different in the mobile world. The security model for smart phones, tablets, the next gen laptop is fundamentally different than the older OS world. In this new world, enterprise data is moving on to these devices and in the modern apps at an astonishing speed. Yet the legacy security industry remained focused on legacy PC platform and legacy security models rather than delivering security platform adaptive to meet the needs of the new modern OS and modern application. This is important because just in the last 90 days, there were four major security breaches of mobile operating systems and mobile apps. First was Stage 5. Stage 5 attacked to overflow vulnerabilities and older versions of androids. Then there is key reader, which exposes an owner’s iTunes credentials on jailbroken OS devices. On the Apps front ex code Ghost, this malware arose from a malicious copy of ex code being created and distributive to unsuspecting developers. And finally Y-factor, Y-factor is different from previous malware because it targets both jailbroken and non jailbroken OS devices. Specifically it abuses private APIs implementing malicious behavior. To put this in perspective one of our app reputation partners app authority found that almost every organization with over a 100 devices had at least one compromised user. This is where MobileIron Security model comes in. MobileIron one detects compromised devices and quarantines them. Two, protects enterprise data within mobile application. Three protects data in motion and access control to enterprise systems and four, is the remediation point for the mobile devices and applications. Customers need MobileIron in order to immediately and automatically respond to events like the last three months. Without MobileIron customers are putting enterprise data at significant risk. As an example I was recently in Europe visiting a large Dutch Government Organization. After the report of the Stage 5 vulnerability and under 30 days this customer expanded their footprint of MobileIron from roughly 2,000 seats to 13,000 seats and issued a large expand order purchase in the process. Customers around the world are just like the Dutch Agency. They need productivity and at the same time they also need to make sure that their enterprise data can be secure across the modern OS and app landscape. It’s up to us to solve this very, very real challenge for our customers and to capitalizing this opportunity to build a great business and drive MobileIron to positive cash flow and profitability. I’d like to now turn to our third quarter results and how we are running the business. For the third quarter ended September 30, gross sellings were $41.1 million up 7% year-over-year. Non-GAAP revenue for the quarter was $37.7 million up 12% year-over-year. Our recurring billings in Q3 were $27.3 million up 35% year-over-year. Our recurring billings is now on an over $100 million a year annual run rate and growing faster than our overall topline billing. We also started reporting revenue from recurring sources, which is now over a $93 million annual run rate and last quarter grew 45% year-over-year. We have continued to see measured progress on our overall mix shift from one time license to our recurring sources. Renewal rates continue to be strong and in line with historic trends over 90% on a seat on seat basis. Average seat prices were down slightly driven by a couple of larger strategic deals one in China and one in the U.S. Public Government. I am pleased with the performance of our business against our targets and in the growth of our underlying recurring business. At the same time, we have work underway to reaccelerate overall billings growth. I’d also comment that this quarter's financial results were delivered on top of deliberate adjustments for the underlying cost structure of the business so that we could continue to drive our business toward cash flow breakeven and profitability. Simon, will have more details on the numbers and our path to profitability in his section. Now, I’d like to shift and recognize a number of customers who expand their business with us and also welcome new customers for the MobileIron family. First Energy Giant BP expanded their deployment with MobileIron in Q3. We thank the team of BP for their business and their partnership. We would also like to thank Reid for their expand order. Reid is an information and analytics company with over $35 billion market cap and over 30,000 employees around the world. We look forward to working with the Reid into 2016. In Q3 we saw numerous expand order from vertical market such as financial services and government. In financial services for example we received over 10 sizable orders from major banks. On the Government front we’d like to thank the U S Department of Agriculture who also placed the significant expand order with us. The USPA first became a customer back in early 2014 and has continued to expand rapidly. The USPA keeps our food safe and we help them keep them mobile data safe. Another customer who has been highly mobile for over 100 years is the U.S. Postal Service. The Postal Service expanded their footprint in MobileIron in the past quarter as well. Neither snow, nor rain, nor heat, nor over night will stop us from delivering great service to them in return. Our investments in the government verticals have started to pay off and not just it expands, but also with new wins as well. Our new Federal Government customers that I would like to welcome is the Federal Emergency Management Agency or FEMA. This same trend also continued outside the U.S. We would like to welcome Region Hovedstaden, which is the Capital Region of Denmark. Other new customers include the FEMA like New York Presbyterian Hospital System, which is also affiliated with Columbian and Cornelian University sounded all the way back in 1771 near Presby has a track record of innovation and great service for over 240 years. We're honored to be part of continuing that mission and the prestigious U.K. based wealth management firm St. James Twice selected MobileIron in Q3. St. James Twice is a global firm listed on the 5100 with over £50 billion and assets under management. And our new customers include companies great names and great causes. We're proud ourselves in having the most innovative companies as customers and we're thrilled to be working with the honest company, Founded by Jessica Alba and Christopher Gavigan the honest company exploded on the scene with a vision of creating state and eco friendly baby product. We welcome the team as the honest company. In addition to recognizing our customers we’d also like to recognize our new and expanded members of our platform's eco system. Our eco system is a long-term differentiator for us and for our customers. Mobile is no longer an Island. Mobile is now becoming integrated with IT infrastructure services and workflow. Integrations with our eco system bring us to life and benefit our customers, our partners and us. Strategically these systems now depend on the line as the source of truth for visibility, security and action into the modern OS and App world. This last quarter we reached two enhanced integrations with service connect partners Long and ServiceNow. We now provide pre complied visualization for PCI, CBIS, and stock compliance program. Now it’s easy for customers to integrate mobile data into their overall compliance reporting. For ServiceNow joint customers like Varian Medical System that now have their health desk technicians quickly view mobile user assets and take security actions through their ServiceNow console. We believe these integration create value for customers and pick your services for our partners and for us. These capabilities are also part of our platinum package, which we believe drives the attached of our higher price future packages. Also this week we're excited to share the news about our new partnership with Intel Security, the company formally known as McAfee. MobileIron is now part of the Intel Security Innovation Alliance, which allows MobileIron to integrate and sell together in the field with the Intel Security sales team and our mutual channel partner. Intel Security showcase MobileIron at their Focus 15 Customer Conference at Vegas last week and the implication is at leading vendors in the security industry like McAfee need our mobile insight and security pattern. We look forward to working with our new partner Intel Security in the field and in our many joint enterprise customers. To the other end of our ecosystem let me try to update on Windows 10, while Windows 10 is new and we don’t expected to be a catalyst for the topline until later in 2016 customers are taking a serious look now. Thus far we have over 70 beta side customers and the feedback has been positive. Windows 10 marked a major turning point in our industry as this is the first major laptop, desktop which is specifically using both modern application and the model EMA market structure security. Windows 10 has two indications from a wire. The first isn’t we believe represents a 10 expansion of our business and two strategically it provide the approved that the mobile model or security and management will become the dominant model for end point computing. Let shift gears to our team by team and our expertise represent a competitive advantage in the market. During the third quarter we added new members to our leadership team early in the quarter we are pleased to announce Simon Biddiscombe is joining us our ongoing CFO, Simon brings a huge wealth experience for the table and will make a great team. Towards the end of the quarter we are pleased to welcome Damian Artt board as our Senior Vice President of Worldwide Sales. Damian brings scale, growth and operational expertise to the table. These already out in the field with customers, channels and our field team. Before I close I wanted to share something that all with MobileIron's really excited about this quarter, you’re probably aware of the book, The Martian that came out of nowhere, it's been on the New York Times best seller list of 51 weeks and it now up for movie. What you probably don’t know is that the author Andy Weir was one of our original android engineers. He brought the page turning story tenacity humor and the power of science. We would like to congratulate Andy, he is an inspirations to see great things happen to great people. In closing as enterprise data moves on to mobile and other modern operating systems, MobileIron is the backbone for securing enterprise data and app. The events of the last 10 weeks combined with the secular device macro provides the tailwind for long-term growth in our market and our business. While we have work to do to reaccelerate our top line growth to match our underlying recurring growth, I remain very positive about our markets, our technology leadership, our competitive position and the changes we’ve made in order to capitalize on the business opportunity ahead and create significant value for our investors. Now let me hand off the call to Simon to cover the Q3 financial results in detail.
Simon Biddiscombe: Thanks, Bob, and good afternoon. Overall, we were pleased with our third quarter financial results, with billings, revenue and operating expenses all within guidance, gross margin slightly better than expected. I will begin my comments by providing additional details on our performance for the third quarter of 2015 and will conclude with the outlook for the fourth quarter. Our discussion will mainly focus on non-GAAP financial measures unless otherwise noted. Our press release and website provide a reconciliation of GAAP to non-GAAP financial results. Starting with revenues, we report non-GAAP revenues to obtain for vendor specific objective evidence or VSOE and to provide more meaningful period over period comparisons. As a reminder, at the end of 2015, we will no longer be reporting non-GAAP revenue because VSOE adjustments will no longer be material. Non-GAAP revenue were $37.7 million up 12% from the prior year. As expected revenues from perpetual license sales were $13.3 million down 18% year-over-year. This decline is primarily as we have seen the transition from perpetual subscription revenues. Revenue from subscriptions consisting of both term subscriptions and monthly subscriptions or MRC was $12.3 million up 53% year-over-year as new customers show preference to Cloud and subscription solutions. Revenue from support software and services was $12.1 million up 30% year-over-years. Overall renewal rates remain in excess of 90%. During the quarter MRC billings were $5.7 million and revenue which is part of our subscription revenues was $5.4 million up 59% from year ago. Billings were higher than revenue because we did not complete a deliverable for one specific customer. As Bob mentioned the percentage of gross billings from accruing sources was $27.3 million up 35% year-over-year and represented 66% total billings for the quarter up from 53% in the third quarter of 2014 the classified recurring billing it’s a sum of two categories, subscriptions including MRC and support contracts. Please see the press release exact calculation and description. As we think about the future financial performance by our business we will continued to focus on billing over -- billing which is now an excess of $100 million on an annualized basis and as one of the indicators that give us confidence that we can achieve our targeted cash flow breakeven in the fourth quarter of calendar 2016. Starting with the third quarter we have begin to report revenue from recurring sources to go along with billings of recurring sources. Recurring revenue is made of revenue from subscriptions both and monthly plus software support contracts not -- of the revenue from [indiscernible] licenses, professional services and other non-recurring items you will find the last five quarters of recurring revenue in the supplemental information table of the back of the press release. We believe that recurring revenue reflects combined performance data on cumulative sheets contracts product mix sold and renewal ASPs. The rate of growth of our recurring revenues has been highly tolerated to the rate of growth of cumulative sheets. Revenue from recurring sources for the third quarter was $23.3 million up 45% year-over-year this means our subscription and maintenance support revenue is now roughly a $93 million business and we expect that it will continued to grow significantly faster than total revenues. Non-GAAP gross margin in the third quarter was 83.3% which was at the high end of the 81% to 83% guidance driven mainly by type control of expenses. Total non-GAAP operating expenses with $45.1 million third quarter of the low end of $45 million to $46 million guidance range and -- from $47.5 million in the second quarter. To book this further in perspective excluding litigation expenses operating expenses decreased from $44.6 million to $41.2 million or approximately 8% sequentially. In August we ended to the restructuring and reduction in force -- approximately 6% of the -- force this restructuring was part of the plan to realign on key go to market priorities and to drive greater efficiency to rate the company. We’re already seen the benefits of the changes and our sales metrics. As part of the restructuring we recorded a charge of approximately $1 million to severance costs. In early August we’ll received an extremely favorable future and our California patterned litigation with good technology. In the case three of goods package will invalidated and our enterprise app store patterned was up held as valid. No damages were awarded to either side. Litigation expenses were high at $3.9 million in the quarter primarily due to the cost of the trial. In the bottomline for the third quarter. We reported a gap net loss of $24.1 million and an non-GAAP net loss of $13.9 million. GAAP EPS was a loss of $0.30 our non-GAAP EPS was a loss of $0.17. These are based on a weighted average basic share count of $79.4 million shares. Moving to the balance sheet, we ended the third quarter of 2015 with $105.2 million in cash short term and long term investments. A decrease of $12.1 million from the prior quarter. Deferred revenue was $64.3 million at the end of September versus $49.6 million the prior year. Deferred revenue includes $432,000 related to VSOE and as of September 15, as of September 2015 and $3.2 million as of September 2014. Excluding amounts related to VSOE, the deferred revenue balance grew 38% year-over-year. Looking at just the deferred subscriptions and software support, these combined grew in excess of 40% year-over-year. DSOs for the third quarter of 2015 was 75 days up one day from last quarter. In general, our DSOs are in the 70 to 80 days range and have typically moved up or down based on intra-quarter linearity and some seasonal factors. Last quarter I stated that over the short term as measured over the next couple of quarters, we needed to reduce the overall cost structure of the business while managing operating expenses and driving efficiency. The restructuring we completed in August was 1. Next we are focusing on the efficiency of our spending with particular emphasis on measuring and improving the ROI on each dollar spent. If you look at our operating expenses excluding litigation costs they grew 6% year-over-year a rate lower than both our growth in billings and our growth in revenues. Turning now to guidance, as we traditionally state, we believe that over time we will continue to see a shift from perpetual license to subscription licenses in MRC. The impact of product mix combined with the timing of large transactions may cause the billing mix to vary in any given quarter. For the fourth quarter, we expect billings to be in the range of $46 million to $49 million, up 9% to 16% year-over-year. We’re basing this on the mix of billings type staying relatively constant with the prior quarter. We are projecting a non-GAAP revenue range of $41 million to $42 million up 12% to 15% year-over-year. With the fourth quarter guidance we have provided, we expect full year billings to land in the previously guided range of $160 million to $170 million and non-GAAP revenue in the previously guided range of $140 million to $150 million. We expect non-GAAP gross margins to be approximately 81% to 83%. We expect the non-GAAP operating expenses will be in the range of $44 million to $46 million. This should put our non-GAAP operating margin within the previously guided range of a negative 24% to 28%. Looking forward to 2016, we believe we remain on track to grow billings and revenues and turn cash flow positive by the fourth quarter of 2016 -- any unforeseen issues and we continue to believe that operating margins will be in the range of approximately negative 8% to negative 12% exiting 2016. As a reminder the GAAP to non-GAAP reconciliations, disclosures and risk information can be found in our earnings release or our Form 8-K filed with the SEC this afternoon. All forecasts are being made as of today. Operator we are ready for questions.
Operator: We will now begin the question-and-answer session. [Operator Instructions] The first question comes from Mark Sue of RBC Capital Markets. Please go ahead.
Mark Sue: Thank you and good afternoon, gentlemen. You’re doing a very commendable job in terms of stemming the cash burn, when I look at the subscription business model however, it's really about spending money now to gain new customers and to refill the funnel and maintain existing customers. So I guess how you’re thinking about the balance between growing your billings and also your operating margin guidance and does the focus on reducing your cash burn hamper your ability to grow your revenue longer term?
Simon Biddiscombe: So Mark, this is Simon. That’s a great question. So if you recall 90 days ago, I said that my first area of focus was going to be the ROI associated with our sales and marketing initiatives very specifically and we've spent a tremendous amount of time over the course of the last 90 days looking at how to best align and go-to-market model with all of the opportunists that we see in the market at this point in time. The interesting part that comes out of all of the work that's been done over course the last 90 days is that even a allowing for a lower cost structure in sales marketing which we will have moving forward in the near term, we have still see accelerated growth on a year-over-year basis in moving from Q3 to Q4. So in Q3 billings growth in total was 7.5%, when I look at what I've guided for Q4 I am looking at 9% to 16% year-over-year growth. So I do not believe that we have restricted the businesses ability to grow in either subscription or perpetual frankly by making the changes we've made to bring focus to the go-to-market model.
Mark Sue: Okay. That’s helpful and Bob may be a question for you, if you think about mobile software as part of the overall suite of software that enterprises purchase your competitors are bundling more and more at the added element felt that that hamper your ability to win market share and subsequently are their thoughts to ally with different partners to drive your entry and your extension entities to the large verticals.
Robert Tinker: Sure thanks Mark, due to the competitive landscape over the last 18 months is narrow significantly there is really only two other players we have see. And if you look at both of them yes they are pursuing a bumbling strategy. Now our sales strategy against that is to get customer and look at surpass the PowerPoint and got to do an Eval because what we have see is that in the security industry CIO’s want to do a proof of concept to look at best in class security product and in those types of situation we like our chances to be able to win.
Sam Wilson: Next question please.
Operator: The next question from Michael Turits of Raymond James. Please go ahead.
James Wesman: Hey guys its James Wesman filling in for Michael. Simon look into 2016 I appreciate that the comment around 4 to 16 a cash flow break even can you give us some high level thoughts or framework about how you guys are thinking about revenue and billing.
Simon Biddiscombe: And so we are not provided guidance at this point in time the very specific data point I gave you which is the things data point we have been given for at least the six month but I’ve been here is that we expect that when we get to fourth quarter of next year the operating margin will be somewhere between a negative 8% and negative 12% we are get let you Bill whatever you believe the right model and cost structure associated with that is but obviously when we get to the next earnings call will you a review of 2016 at that point in time.
James Wesman: Got it and then just follow-up for Bob, Bob I know you guys hired a team in art a new worldwide sales head any changes to the sales strategy, or the sales motion since he stated with you guys.
Robert Tinker: We made a number of changes in Q3 relative to what Simon said in terms of altering our cost structure in sales but also just being much more efficient about where we apply our acquire resources. We made a number of changes in people and process, Damien has been on Board for less than 30 days at this point. He is out in the field with customers and channel partners learning the business. I think it’s a little too early to talk about any specific changes at this point but at this point we are continuing to execute the way we do.
James Wesman: Great think you guys.
Sam Wilson: Thanks James, next question please.
Operator: The next question comes from Heather Bellini of Goldman Sachs. Please go ahead.
Jack: Hey this is Jack filling in for Heather. I was just hoping we can get an update on ASP trends in the quarter and also if you could provide any color on ASPs on sort of like for like basis how that's trending would be helpful.
Bob Tinker: So we actually comment in very specifically in Bob prepared remarks that average prices were down slightly, but that was primarily driven by a couple of specific deals one in China and one with the U.S. federal government so that the only color will providing on ASPs at this point in time.
Jack: Yeah, missed that comment, sorry about that. And just one follow-up I guess focusing on the opportunity to up sell the current customer base if you can update on what the current customer penetration is and also the proportionate fees that are currently on a premium offering that would be helpful.
Bob Tinker: This is Bob. I'll take that one. So given our business model runs land expand and up sell. We do pay very close attention to the penetration rate as we win new customers every quarter and then expand into the customer base. If you look at our cumulative customers and look at the penetration of -- sold into those customers relative to the opportunity, we estimate that our penetration rate is around 25%. The second part of your question which was relative to selling our advanced services enables our gold and platinum packages that our penetration as services into our cumulative installed base is slightly over 50%. Though we’re continue to both make progress in terms of more of our new customers buying the advanced feature set as they come into the door as well as our existing customers moving up to stack and buying our more high valued features.
Jack: Great. And was the attach rate same sort of 50% to 80% range that you’re referred in the past fiscal quarter?
Simon Biddiscombe: Yes. It is consistent.
Jack: Thank you.
Sam Wilson: Thanks Jack. Next question please.
Operator: [Operator Instructions] Next question comes from James Faucette of Morgan Stanley. Please go ahead.
James Faucette: Thank you very much. I wanted to kind of circle back and follow up on Mark Sue’s question just around the competitive environment and as everybody has noted there seems to be lot of bundling going on. I’m wondering how you can increase or accelerate the rate of actual valuation on trials secondly to acceleration in your billings and revenue and the like and firstly and secondly, are there things that you feel like you need to do with the product portfolio to enhance it and further expand it to make it addressable to perhaps people that don’t need the securities or not at least low as well prepared to implement that, so that you can further increase your feel in the market, thank you very much.
Bob Tinker: Sure. Thanks James. Both good questions. So we look for our competitors are following a bundled strategy and in my personal opinion on that is bundling strategies is what large companies do and their products that can’t win on its own. That being said is how they sell, so in terms of increasingly customers buy MobileIron for security and in the security industry, customers typically look for best of breed and they certainly do in Eval. So given our focuses on the mid and large sized enterprise it is actually worth build expense effort to be able to do the Eval’s and PSCs and when we do that we typically win. I will give you an example like I just heard about a POC and CUK where sale because of its immaturity. So in those types of situations we would like our concept. And in terms of things that we do to our product who appeal the product that may not be ready for the full suite, we do sell them to lot of customers that are into the Phase I of their mobile deployment and that is fine those customers typically buy our Silver package. And interestingly one of the things we are seeing is that many of those customers will come by that type of package through our operator channel and those channels are perfectly geared for high velocity, low cost selling of packages into markets they are looking for sort of a stage 1 deployment and they do a great job of it and that is going to be an important part of better market going forward as well.
James Faucette: Great, thanks Bob.
Sam Wilson: Do you have a follow-up James? Thanks.
Operator: The next question comes from Robert Breza of Wunderlich Securities. Please go ahead. Robert, are you there? I'll clear him. The next question comes from Raimo Lenschow of Barclays. Please go ahead.
Stephan: Hey guys this is Stephan sitting in for Raimo. Just two questions, can you talk a little bit more specifically about what changes you made to the sales force to sort of increase the efficiencies this quarter and sort of how you expect that to funnel through as the new sales leadership certainly gets more comfortable on this seat. And then just a quick follow-up and you talked a lot about more security and can you provide a little bit more specific details about how you’re may be differentiated versus some of your competitors and then sort of the follow up on the earlier questions regarding the bundling and everything that’s going on in the industry. Thanks a lot.
Bob Tinker: Simon will take the first question on sales force and I'll take the second question on mobile security.
Simon Biddiscombe: Rather much the very specifics of what we did I actually think it’s going to proprietary and I don’t necessarily want to share with my competitors what we’re thinking about there is no doubt that Damien and having joined the organization I've been here for 30 days of service point in time bringing a very fresh perspective as to how we continue to look at the sales and marketing coordination as we move forward. I don’t think that we had a time see will drive incremental activity to the organization but I think it will be inappropriate for me to share the very specific changes that we made at this point in time.
Bob Tinker: I will take the second part of your question which is around mobile security and getting more specific about that so at our core MobileIron is Security Company, customers buy MobileIron because they want secure enterprise data on mobile and next generation -- they don’t buy MobileIron to configure WiFi. The specifics for where we’ve been, I can had a soft level at a very high leverage because we can scale we have the largest most sophisticated customers around the world that in terms of customers that need to secure specifically mobile applications and using like two factors single sign on indications. Customers that are looking for both the scale and app security and user enhancing capabilities like single sign on and those types of situations we win and if you look at relative to some of newer entrants in the market like Ìntune for Microsoft we were based upon our automation for instance seeing able to auto retire individual devices at scale we were based on security because we can identify older versions of android which is really important given some of the press that came out over the last 10weeks. We win because of our ecosystem in partnership that reputation services and again it goes back to the ability to secure and manage applications at scale and I think another piece is not to mention that CIO is a value our neutral position in the market.
Stephan: Got it. Thanks and just one quick follow up I may have missed this but did you guys just close on competitive win rates this quarter.
Bob Tinker: We did not. It's in line with past trends.
Stephan: Alright, thanks so much.
Sam Wilson: Thank. Next question please.
Operator: [Operator Instructions] The next question comes from Sanjiv Wadhwan of Stifel. Please go ahead.
Mike Lin: Hi, this is Mike Lin filling in for Sanjiv. I just wanted to go back on the competitive front it looks like your large competitor they’ve seen a large deceleration in terms of billings and the company has also see deceleration in billings growth as well. Just trying to get sense from you guys is there may be a pause in the market due to obviously industry consolidation with blackberry and good or is it the situation where in sort of shipping from a very, very high growth base to a decelerated based that’s still moderately high but nowhere near past levels?
Bob Tinker: So it's difficult for me to comment on specifically what underneath the math of deceleration at air watch, but I think if you look at our business we talk about our revenue growing 12% overall but the thing we want to point you is that our underlying recurring revenues 45% which is much more correlated the underlying organic growth in the business and given that relative to some of the publically reported marketed data about overall growth and we’d like what’s going on.
Mike Lin: Okay, thank you.
Sam Wilson: Great. Next question please.
Operator: The next question comes from Michael Kim of Imperial Capital. Please go ahead.
Michael Kim: Hi, good afternoon guys, with regards to expands and up-sells are you seeing material difference between may be a license customer versus the term or monthly subscription customer. And I think in your prepared remarks you talked about new deals or the majority of new deals going towards Gold and Platinum and with the growth in the recurring part of your business is there may be a higher mix shift towards the higher value packages?
Bob Tinker: So this is Bob. I will take that one. The in terms of new deals coming into door, we are seeing new customers coming in the door look primarily at Cloud and subscription solutions. So we see a shift heading there as we talk about that as part of our business. In terms of underlying expense those are similar across different billing models up sell our similar renewal rates, similar sale. So we don’t really see a significant behavior difference between the different billing models.
Michael Kim: Great, and then regards to the sales forecasting process I think do you feel that with some of the changes that been implemented so far that you have maybe a higher level visibility around that mix between perpetual and subscription monthly?
Simon Biddiscombe: Yes I do so. This is Simon, yes absolutely. When I look at frankly the mix that I see in the pipeline at this point in time, I’m far more comfortable that we as an organization have arms around the individual transactions that are likely to close and the mix that was there for the forthcoming -- coming end of the quarter. Okay. So that is part of it in the process we can actually see is the mix of revenues not building for the revenues actually very consistent for the last two quarters and as I look forward as well, I expect that to be relatively constant into Q4. So yes we have much better visibility in to mix than it’s much more constant than it was at the very beginning of 2015 at this point.
Michael Kim: Got it, great. Thank you very much.
Operator: The next question is actually a follow-up from Michael Turits of Raymond James. Please go ahead.
James Wesman: Hey guys James Wesman again. Thanks for the follow-up. I appreciate you letting me in. Just a quick question Simon on subscription term length, Billing in the MRC is the monthly to monthly billing, can you talk about the longer term subscriptions and what the term length has been with those as it been roughly the same this quarter versus previous quarter does it gotten shorter or longer, any color there?
Simon Biddiscombe: Yes there is really nothing dramatic in terms of the change in the length of the term subscription transactions between one year, two year, or three years this point in time. So there will always be a little bit of variability on a quarter-to-quarter basis, but the vast majority is that very consistent with what’ve seen and frankly as part of the reason we decided to show you recurring revenues and recurring revenues you actually normalize all of those differences in the current billing you don’t because picking up one year or two year and three year and treatment exactly the same. Probably the reason we gave you recurring revenues as you can actually normalize for one quarter's worth of any one of those individual transactions right. So no dramatic difference on a quarter-to-quarter basis.
James Wesman: Great, thank you Simon.
Simon Biddiscombe: Thank you.
Operator: There are no more questions at this time. I will now hand the call back over to Sam Wilson for closing remarks.
Sam Wilson: Thank you, Ben. As long as we know that later tonight there will be replay number, the toll free number is 1877-870-5176 and it will be available for the next 60 days with a replay PIN number of 116592. Thank you for joining us today and we look forward to talking to you again in the future.
Operator: This concludes today’s conference call. You may now disconnect your lines. Thank you for participating and have a pleasant day.